Operator: Good day everyone and welcome to the Consumer Portfolio Services 2015 First Quarter Operating Results Conference Call. Today’s call is being recorded. Before we begin, management has asked me to inform you that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Such forward-looking statements are subject to certain risks that could cause actual results to differ materially from those projected. I will refer you to the company’s SEC filings for further clarification. The company assumes no obligation to update publicly any forward-looking statements whether as a result of new information, future events, or otherwise. With us here now is Mr. Charles Bradley, Chief Executive Officer and Mr. Jeff Fritz, Chief Financial Officer. I will now turn the call over to you Mr. Bradley.
Charles Bradley: Thank you and welcome everyone to our first quarter 2015 results conference call. I think overall, as everyone can see in the press release we put out last night, that we had very good quarter. It’s probably pretty much give or take – expectations that we would do in terms of the earnings. I think in looking at the quarter, it’s a little different, generally in over 20 years or so, the time company’s grow was in the first quarter and this is the second year in a row that that really hasn’t happened. And so I think it’s – whether this is a new normal or not, it would seems that maybe the new normal as some of the large banks being rather aggressive in the first quarter to get their numbers. We’re not really quite sure, but what seems to be now having reduced of two in a row is very aggressive buying in the first quarter, whether that’s because people need to achieve their earnings or people are overly aggressive during tax season, it’s hard to tell. As a result of since we’re not, we never have been, and never will be, the people that chase the crowd, our business grew but not to the extent we might have thought and as we thought be what used to be the big first quarter search. Now, having said all that what’s interesting is last year I probably said something very similar to that in this call is being dependent on that twice. Last year, we didn’t know that we’re going to have a big growth in the summer. So, what’s – what may be the trend, it’ll be interesting to see is that the first quarter sort of aggressive in the banks and they all back off, then you know what the rest of the year brings. Last year, we had very significant if not enormous growth during the summer, whether that’ll happen again, we’re not sure, but it is a little interesting that so far the first quarter 2015 has resembled the first quarter of 2014 very much. And so, you know, we’ll wait and see, but back to our quarter, even though we didn’t get a huge jump in rate and originations, we did have a good quarter in that – the execution of securitization was better than we expected. We’re able to maintain our margins a little better than expected. And that’s again because we’re buying what we want to buy, we’re not buying because we have to buy. And I think that’s something I’ve said in several different conference calls and it’s certainly worth repeating.
– : Our goal is to buy the paper and have it perform exactly how we expect and certainly within the range of what we expect. One of the things we put in the news release is that – this is our 14th consecutive quarter of increased earnings and that’s where we’re going for. We’re going for long-haul. We’re not going in order to try and jump up revenue, jump up earnings and wonder what happens when all falls apart, that’s never been the way this company works and never will be. So, back to the first quarter, the first quarter was really good in terms of – we’re able to buy what we wanted to buy, we’re able to buy at a good margin and again the cost of funds are very good. In terms of the industry, I think you’re beginning to see maybe quite two groups, but some of the people get very aggressive during the quarter and some of the people that maintain credit discipline. Now Wells Fargo put out a large press release saying they’re going to cap their exposure subprime, and they also said that they didn’t grow as best in the first quarter because they maintain their credit discipline. We’re big fans of them. We think they’ve done a wonderful job. They’re an enormous player and not a bad guy to be in the same neck of the woods. And so, we can say, we do what they do. That’s a very good thing. And then certainly, we are trying to maintain our credit discipline and buy what we are supposed to buy rather than is buying a bunch of paper. Also I think there’s been a little bit news daily in the regulatory environment. I think the easy part is there is nothing new in that area in terms of what we’re doing. It does seem like the government may be looking at this period of impact a little differently, and certainly there’s been a lot of press about maybe they haven’t looked at it the right way. And so that would be very interesting that certainly we would view that as good news. So overall that’s a very good quarter, a little different than we expected, but still work the other way we would wanted to and we think it’s a very good way to start the year. Now, I’ll turn it over to Jeff to walk you through the financials.
Jeff Fritz: Thanks, Brad. Welcome everybody. We’ll begin with the revenues. The revenues for the first quarter were $86 million at a 3% increase over the fourth quarter of 2014 revenues, and a 26% increase over the first quarter of 2014 revenues of $68.1 million. And that’s not really news there in terms of anything being different. The managed portfolio grew to over $1.7 billion during the quarter that’s about a 6% increase from the fourth quarter of last year, and about a 37% increase over the first quarter at the end of the first quarter a year ago. So obviously that’s driving the revenues almost all that is interest income. The expenses – operating expenses were $71.2 million for the quarter, again a 3% increase over the December quarter and a 26% increase over the $56.4 million for a year ago. Actually many of our expense categories in the sequential quarter were pretty close to being flat and then compared to a year ago, obviously their increase is due to size of the portfolio, an increase in the portfolio. Our interest expense is actually down this first quarter of 2015, compared to the first quarter of 2014 due to the lower blended cost ABS debt, and you may recall that we repaid some expense of senior subordinated debt at the end of the first quarter of last year. One expense category that is not decreasing and is increasing in a predictable and organized way is our provisions for credit losses, $33.4 million for the first quarter that’s a 6% increase over the December quarter of $31.4 million and a 40% increase over $23.9 million in the first quarter of 2014. Again, these provisions are increasing more or less at the rate that we’ve been predicting in line with the originations, volume, and the growth in the portfolio. Pre-tax earnings for the quarter were $14.7 million, again a 3% increase over the second quarter of – excuse me $14.7 million increase over $14.3 million for the December quarter, and an increase of 25% compared to the first quarter of last year. Net income was $8.3 million, a 4% increase over the December quarter and a 24% increase compared to the $6.7 million a year ago. Diluted earnings per share, $0.26, that’s a penny increase over the December end quarter and a nickel increase or 24% compared to $0.21 a year ago. Moving on to the balance sheet. Free cash, unrestricted cash was $20.2 million and the restricted cash of $173 million includes as usual a big chunk, $72 million in this case that represents the pre-funded portion of our 2015 A securitization. Those numbers are not significantly different from the previous quarter. One thing that I think most of our followers realize is that in addition to the unrestricted cash of $20.2 million, we finished most of these periods with a significant amount of un-financed receivables, about $25 million in this quarter I think that was un-financed, which we financed those either through the warehouse lines or in the term securitization would have generated a significant additional free cash liquidity. The portfolio of finance receivables, net the allowance for loan losses is $1.6 billion. At the end of the quarter that’s about a 5% increase over the December quarter and a 37% increase compared to a year ago. Moving on to the debt side of the balance sheet, not a lot of real changes, any significant new debt certainly the securitization debt is now $1.7 billion compared to $1.6 billion at the end of the fourth quarter last year and compared to $1.2 billion at a year ago. We did repay in full the remaining debt associated with the small Fireside portfolio, that acquisition that we made back in 2011. And the residual interest financing continues to amortize down. And the other long-term debt, which is those renewable notes just stayed pretty much steady, it’s trended down slightly $15 million now compared to $18.6 million a year ago. Look at some of the performance metrics, the net interest margin for the quarter was $72.8 million, that’s a 3% increase over $70.6 in the fourth quarter of 2014 and a 33% increase over $54.8 million a year ago. This is almost entirely driven by the improvement in the blended cost of funds of the ABS debt that’s on the balance sheet. The blended cost of the ABS debt balance sheet for the first quarter of this year was 2.7% compared to 3.2% in the first quarter of 2014, and in addition, I also mentioned that we had pay down of that other senior secured debt at the end of the first quarter last year. The risk-adjusted NIM, which takes into consideration the provision for loan losses, was $39.4 million for the quarter kind of flat with the December quarter about a 27% increase compared to $30.9 million a year ago. So we continued this trend of improving risk adjusted NIM, even with the increase of expected reasonable increases in provisions for credit losses. Moving on to the core operating expenses, they were $24.6 million for the quarter, and actually pretty much flat slightly less than the $25 million for the December quarter and an increase of 29% compared to a year ago, and ratios which we highlighted in the press release, core operating expenses as a percent of the average managed portfolio 5.8% for the quarter compared to 6.2% in the fourth quarter of 2014, and 6% a year ago. It’s a bit of a milestone for us and one that we’re predicting that as the portfolio grew. Our operating costs – our core operating costs would not increase at the same rate as those revenues generated from the portfolio. And so, this metric has trended down and getting below 6% was something that we’ve been sort of predicting in most of the results and it’s a good milestone to reach. And that of course is a significant component in the return on managed assets, which was 3.45% this quarter compared to 3.6% in the December quarter and 3.7% a year ago. So a lot of moving pieces there including the yield on the portfolio, which we’ve seen some depression due to the competitive environment, but we’ve recovered much of that as a result of the improved ABS costs and our operating leverage that I just alluded to. A quick look at the credit performance data, the delinquency for the quarter, which includes repossession inventory 6.86%, that’s down a little bit sort of seasonably down from the December quarter of 7.2% and up just a little bit from a year ago where it was 6.3%. Net annualized losses for the quarter 6.64% compared to 6.44% for the fourth quarter of last year and 5.54% in the year ago quarter. Again that trend is again from our standpoint predictable and logical trend given the size of the portfolio and the gradual seasoning of the portfolio. A quick look at the ABS market; of course, you’ve seen already. We did our 2015 A deal a few weeks ago, that was a $245 million securitization, essentially the same exact structure as in previous probably five or six-year deals. The blended cost of funds on that was 3.01%, which was down a little bit compared to 3.07% for the fourth quarter deal. We got a little help from the benchmarks, having trended down particularly on the shorter-term bonds that are kind of at the top of the stack. And we also saw very strong demand particularly in the upper classes of those bonds, which help to compress the spreads a little bit. And so that’s a good story there and the ABS market continues to be very liquid. There is a lot of subprime auto deals in the market almost every quarter. And so, we continue to get good execution, good relationship with our working partners in those deals and we look forward to – that market continuing to be very receptive for us. With that, I will turn it back over to Brad.
Charles Bradley: Thank you, Jeff. So, if you look at the financials, all good numbers just spreads across the board, so we’re very happy with that. I’ve been looking at sort of the operations, marketing, the focus continues to be on training and we probably support the base hiring new market reps a little bit. We now have a fairly large group. So, we’ve spent a lot of time in the last couple of quarters in terms of training them and getting sort of the new guys, who are doing pretty good to get them up to doing as good as the old veterans. And so, sort of an example of that, as you know our marketing reps who have joined the company and getting that 20 loans to 30 loans per month origination level relatively quickly over a few months, the trick is you get the guys are doing 30 loans per month will get up to 70 loans or 80 loans per month. And so, we do a lot of focus on that in terms of training and really getting into that level because obviously the more they do, the better we are going to do. So as mentioned we had a lot of new people over the last 18 months or so, now they’ve had a lot of the training and so we would expect that to bear fruit in the coming year. Originations hasn’t changed a whole lot. We’re well staffed to do what we want. One of the nice benefits if you don’t grow a ton, you get to give very good service to the dealers and that’s became one of our benchmarks in terms of how we work with the dealers. We can contact the dealers. We can work on any given deal. So we have been very responsive, and reaching that number that we always do is not something all our vendors do in the marketplace. So that the fact that we can do it is again one of those things that that’s our company aside from the rest. Collections, we spoken about collections numerous times. We are now beginning to see some real significant results in terms of doing all of the changes and how we used to collect, and how we collect today. As I said in previous calls, it was going to be a learning curve at some point. It’s nice to say we’re finally moving along that curve in the right direction. We’ve got really strong management in all our branches now. We have all the branches sort of marching in the same direction, and we’re beginning to see some nice results. And so as much as our performance numbers and metrics are pretty good, we would hope with the continued improvement of all the folks and all the branches and see those metrics improve some more. So again from the collection world that’s a very good thing for what we have been doing and like I said, it’s actually is good because we put a lot of work into it, and be able to see some results are very important. I think the options have been fairly kind to us these days, they seems to have normalized and so the low 40s in terms of recovery rate, and fall back where we expect them to stay. Again, as much as some people focus on that a lot, small fluctuations in those numbers don’t affect the company in one way or the other, but it’s nice to see that it’s holding today in the low to mid 40s. And looking at the industry. I think let’s see, I mean for one, the industry is extremely popular, everyone looks it subprime now in a different way in terms of the lenders, everybody wants to be in it, everybody wants to be a participant because the mortgage business is sort of a different animal these days. There is a lot of folks who want to get in auto. The customers to be fair that they want to get into auto and compete with us. It’s just that, it gets a lot of attention in Wall Street, a lot of money flowing into the industry, and say still I think – you’re beginning to see some folks are – maybe the new people or the people who had aggressive targets, those are the people they’re being overly aggressive in the market. And then the other group that the people had been a long time have made be set a longer term view and we certainly fall in the second category. And so, at times at the first quarter when things were more rational in few areas, we don’t play. But having said that it is interesting though that, we still had a very good quarter, we still grew some, maybe not but huge we’d hope, but it’s still – it’s significant that having what we might consider as a flat quarter in terms of the growth expectations normally associated with tax season. We had a very good performance, which I think bodes well for either the summer when things come around the other way. But just in general, the way we sort of run things. So, we’re very happy with those results. And also again same as always, it goes by rational – rationally are too aggressively at that time that they’re going to pay for that later, whether it’s this year or next year and those are the times that we really going to take advantage of the market and/or those competitors have it done at the right way. And so, we’ve always looked for those opportunities too. In terms of general landscape, like I said I think the regulatory issues are still there. But I think they’ve got to the point where everybody understands them, nothing has really changed. As I said, it looks like between in terms of this spread of impact people are maybe reanalyzing how that’s really work, and again those are all good for us, and we’ve spend a lot of time making sure we’re in the right place in terms of how we do things and at this point we’re very confident we’ve achieved those goals. I think in looking at the overall economy, economy looks good. There is always something to worry about. People use to worry about Europe. They’ll be worried about China. We’re [indiscernible] I mean, it’s all better than it was, and that’s the way we look at it. Few years ago when all those companies were doing negative growth and they’re worried about them. Now they’re all maybe they didn’t grow as much or as fast, but so up they’re growing. Now they’re going forward, not backward. So, we view that as plenty of good enough for the United States and as a result. We think the market for cars is terrific. I think the consumer confidence is whole a lot better and better every day and people are replacing the cars, I mean having said that, cars in the roads are still amongst the old it’s ever been. So I guess there’s lots of strong wins behind us or whatever to push this industry forward and our company along with it. Lastly, we can talk about stock price since everybody is going to ask. The stock price is to get edged up a little bit. Again, we don’t control stock price. I think one thing we thought about a little bit after the last call and people asking a lot of questions, you’ve got to remember that whole lot of folks bought the stock when it was very low when it was $2, $3. And along with some of our lenders, last year we had a lot to do with having our lenders sell off some of the positions they acquired, when they’re were lending to us during the tough times. And so, we have particularly our largest lender unload their entire position last year and obviously that affected the stock price. And probably you still may receive some of that and that’s the people, an easy way to look at is people bought the stock at $2, $7 is pretty good price, but there is – I think the far larger growing group of people bought the stock at $6 and $7. And so, at some point that sort of ratios going to move towards much more of $6 to $7 guidance and $2 guidance is prevalent and so I think is that, that equilibrium moves in the right direction, you’ll see a much more stable market for our stock. And having said that, we run the company to grow it and make money and we’ll hope the stock price follows. With that, we’ll open up to questions.
Operator: The floor is now open for questions. [Operator Instructions]. Our first question comes from the line of John Heck from Jefferies. Your line is now open.
John Heck: Good morning, guys. Thanks for taking my questions. First for Brad, you did talk a little bit about some of the competition you mentioned as well you talked about little bit rationalizing environment. But I’m wondering if you can give us more color, I mean are coupons stabilized or is general pricing in the market stabilizing? Are people still – are they still some bad actors maybe pushing term out to ridiculous levels and does that effect you at all at this point of cycle?
Charles Bradley: Good question. It was a little interesting thing about it is, if I had a gas, I had a put it out there, I will say that the competition in the first quarter was based much more on credit. Because if anything our prices stay the same and that we would have felt some significant pricing pressure if people were truly just competing on price and we think our margins got little better. So, [indiscernible] and I guess our freedom in terms of, we can compete on price, we can’t compete on credit and so incentives we are buying aggressively and certainly, I don’t know about bad actors, but there are people out there, that you hear about people waiving POI, which is group income, and just doing a few things that we would never do. Whether there is a rationale behind that or not, I’m not really sure, but they certainly gets the dealer’s attention and they don’t have to worry about whether their customer is making any money. I think the other thing with the extended term, there has been a little bit of a interest in people moving from 72 months to 84 months, not something we’re doing. I mean if I had to, I can even rationalize that a whole lot better than doing a no POI, but you are having these people or some of the players out there are taking some amount of liberty to absorb the credit, a few of them are extending their term. Again, you’re going to extend term fine by saying, somebody with a 72-month loan has got a $400 payment, you can give them a 84-month loan and cut their payment $400 or $300. Unfortunately, that’s not the way it works, somebody has a $400 payment, and then you tell a dealer you go 84 months, but the customer is still going to have a $400 payment, the dealer is going to make more money. So again, this is not really the right thing to do in terms of the long-term look for a higher volume [indiscernible], but yes, if you are going to point out a few things, one would be that people have looked at these terms. Two, people are buying more aggressively on credit, either by waiving POIs and other things, it does not appear that people are particularly competing on price. Having said that, the very high end, and actually the area we don’t really play in, what we call the bank area with low teens interest rates. Those guys view those prices and normally they would lend 11% coupon range, so a bunch of those guys going down at 8% or 9%, but again, that and you are talking about, the really high end credit that we don’t really participate in, and probably generally we’ll be considering all
John Heck: That’s very helpful. And then moving to credit, and Keith either Jeff or you on this one is, so do you look at it, yeah, it is credit some – the trends are very consistent with what we’d expect and in a lot of we kind of evaluate this as a period of normalization where we’re coming from probably unsustainably low rates of charge-offs to more normal rates of charge-offs. And I’m wondering, a) is that an accurate statement to where you see it? And if that’s the case, what point do you kind of you see guys see, at what level do you kind of hit the average level of charges-offs and what timeframe does that occur, and what’s the right ALL, if that – if trend is going forth?
Charles Bradley: I think I know again, I think you’re right, I think they’re in normalized whether it’s supposed to be. I think the real trick to that question is, so now you collect a little differently given the regulatory interest and all. Does that mean there is a new norm of maybe call it an extra percentage point for cumulative loss? Or can you figure out a way to do better? And certainly, our goal is figure out a way to do better. So to give you an answer to the question, I’m in for the way, people needed credit loans today, and then hopefully it’s not all just us, it’s all the vendors. It’s probably you might have a little bit of a higher cumulative loss number, maybe by a point or so as your new norm, because of the way you’re supposed to collect these days. On the other hand, if you teach your collectors how to do it the right way, and really focus on it, which we are, there is no reason you couldn’t get it back to the old number. So again, that’s not the best of the answers, right. In the short-term, I think yes, this is probably you’re looking at new norm, in terms of looking at our cumulative large numbers. On other hand, some people don’t do it right and keep training and keep working on it, because there is a reason that that number can improve. The easy goal for us and anyone else is interested is obviously the better performance – more money in May. So that’s certainly our way to look at it.
John Heck: Okay. And then last question is your – your funding cost have dropped substantially as you guys kind of work through the balance sheet and taken out the little hanging fruit if you will, how much lower does it have to go, I mean assuming stable rate environment, I guess just to make things little earlier, that may or may not be the case, how much lower can it go. Do you have any kind of higher cost debt that still can be addressed or we kind of bottoming out here?
Charles Bradley: Well, we have that sort of the highest cost that we have in the balance sheet is the renewable notes John, and we’ve gradually as those have come up for individually those come up for renewal, we often renew them but we renew them at significantly lower rates than most of them were out there. So that will trend downward, but that’s such a small part of the overall interest cost picture that doesn’t really move the needle right. So you really have to look at the [indiscernible] and realistically, we’ve enjoyed this in a terrific line of these low benchmarks which are ultimately going to drive it. So if the benchmarks and who knows what the Fed is going to do, whether its later this year, early next year, whatever, but as those benchmarks go up, we’ll see those rigs actually go the other way, and there is some things that can possibly do down the road as our deal sizes continue to get bigger. We’ve looked at the possibility of doing a variable rate tranche which we’ve never done before, it hasn’t really made sense with our deals sizes, but if we did that, and the very short – of the curve, maybe a couple of bucks and deals get bigger and bigger potential we will look at, maybe doing it publicly, place deal which has sort of others think, which has sort of other springs attached cost wise and administratively, but we’ve potentially again offer an opportunity to lower the spreads, and then ultimately something we prefer to do is also getting that second AAA rating, at the top of the stack which, we feel is just a matter of time.
John Heck: Okay. Appreciate that color, thanks very much guys.
Charles Bradley: Thank you.
Operator: Thank you and our next question comes from the line of JR Bizzell, Stephens Inc. Your line is now open.
JR Bizzell: Yeah. Good afternoon guys, thanks for taking my questions. Brad, kind of building on the competitive set that John was speaking to, I’m wondering if, you saw any of that pulling back towards the latter half of the quarter and given we’re 15 days, 16 days into April, have you kind of seen your, what you call kind of an irrational aggressive buyer, have you got more opportunity to paper, than you did in the first quarter?
Charles Bradley: So, I’d say it’s still about the same. We might and again it’s almost like last quarter where we said, gee, it’s still too early to tell how the quarter looks, and we’re almost in the exact same place in that. It’s only 15 days into the new quarter. If I really guess, I would say it’s moderating, I wants the things change a bit, but I think, the easy answer is I was one of the aggressive players, I’d probably ride the wave a little bit further in April, just hoping from a little more than a tax refund season that’s hang in there. We’re beginning to see signs is actually if a season is kind of over. And so that would be the sign that we’ll see people pulling back, but if you look at this compared to last year, we certainly so far have started out. We didn’t really see real significant movement until about June. And so, you’re sort of in that middle April, May being sort of the end of the first part and the beginning of the second part. So, you know, the great answer is nothing – there is nothing really evidently out there right now or that’s evidence to show there is a change yet.
JR Bizzell: Right. And building on that, given you’ve kind of pointed that out, the monthly origination goal, I know we hit on it every single. Is it safe to assume that that $100 million a month we’re maybe looking for in the back half, is it more realistic to kind of pull the range back now and kind of think more in that range of $80 million to $90 million as we move throughout the year?
Jeff Fritz: Yeah well, again here’s a good way to look at it, at least sort of maybe how I might look at it. It seems like no matter what we do we’ve got $80 million in the back. So that’s sort of not a bad spot in that. If you’re going to reach $80 million a month, you do pretty darn well. So having said that, what I’d like to do $1 in a quarter, sure. How do I get there? I can’t be aggressive, but that’s out. Can I wait and see how the wind blows, it’s probably what we do, but I think an easy sort of maybe a way to look at it is I don’t think it would take all that much to go back to a $100 million a month. And so, that would be the easy part. We need this summer jump to get to the $125 million, which is almost exactly what I said about the first quarter saying, we need the normal growth – so the easy – the way I look at is our goals have been changed. We’re sitting around $80 million, we’d like to be at $100 million. We think that’s very attainable for the rest of the year. $125 million would be reach, we’d love to see that maybe this summer at this point. But I think yeah, you’re safe in saying, you’re going to tag us to do between $80 million and $100 million on a monthly basis, you would be doing the right thing.
JR Bizzell: All right, thank you for the color and thanks – and congrats on the quarter.
Charles Bradley: Thank you.
Operator: Thank you. And our next question comes from the line of Kirk Ludtke with CRT Capital Group. Your line is now open.
Kirk Ludtke: Hello guys.
Jeff Fritz: Hi, Kirk.
Charles Bradley: Good morning.
Kirk Ludtke: You’ve touched on this, but I was curious if you could speak specifically to potential M&A activity in subprime auto, and are there without mentioning names – are there companies for sale, are there – are there these – are there platforms – the more aggressive platforms, is there any indication that they are moving from an organic growth plan to an acquisition growth plan?
Charles Bradley: It’s almost probably usually it answers the question backwards. I don’t think anyone is out there, any of the big players are looking to make a strategic or aggressive acquisitions or competitors. Here is what – and here’s – the good news, that’s not a bad news. Well, that’s actually a good news too. I mean the fact that our big friends aren’t going after folks, who’s probably just fine. The good news side is as we’ve done a bunch of acquisitions in the past and we’re pretty good service, anyone who wants to do an acquisition, give or take calls us. So we would hear about almost anything going on, we haven’t heard of things. So that gives you a good idea, and that’s to say, so here is what I think going on in the market. I think there probably are a couple of weak companies out there, there might be a couple of big ones having problem. And but I don’t think there is any difference than it was a year ago or six months ago or whatever. The difference in today’s environment is as you’ve got a whole bunch of money in our Wall Street, who wants those companies, and so that’s sort of is going to eliminate the strategic buyer, because they are not going to much like we were, we used to pick up those companies, but we don’t achieve that’s not going to happen anytime soon. There is a strategic buyer out there – you are not going to be able to with the company. On the other hand, the Wall Street money guys will, don’t pay up because they’re going to threw that away and make the return and buy any of these guys. And so, really the buyers will see, when this begins to happen it and always does, as you’ll see some big money buyers that might couple up with someone like us or someone else we can, they can count on to do the servicing to make these acquisition. But I’ll actually go a step further and say I think before that happens, you’re going to find the weaker companies, given all those money there is going to be plenty of focusing, okay it’s having no problem so I showed you the picture, they can equity stake and I’ll give you another lifeline for another amount of time. That could be having right now and we wouldn’t see that, but my guess is that is kind of what you’re seeing today. The companies are struggling against new capital infusion at a little more rope to hang themselves or whatever. And then after that the next level will be what we call the money player acquisitions, the strategic guys – and that’s a really being a super aggressive. It’s going to be hard to see them paying up for these for what I perceive to be the company’s out there.
Jeff Fritz: Kurt, to Rod’s point about our track record of sequential acquisitions over the years put us on the radar for really anybody out there who’s got something to sell or looking for a partner. In the fourth quarter, during the fourth quarter, we look very carefully at a private deal and acquisition of a sub-prime portfolio the assets for that and we passed on because it wasn’t our cup of tea, but we had an opportunity to look at. And so, we get the calls for the five or six successful deals we’ve done in the past. We probably looked at another 50 and passed on them for various reasons. So, if there is opportunities, chances are we’ll get a chance to look at them anyway.
Kirk Ludtke: Great. I appreciate. Thank you. That’s helpful. And then another follow-up on the regulatory environment, is there anything specific that you can point to that leads you to believe that government maybe walking back some of its regulation on sub-prime?
Charles Bradley: Well, I wouldn’t go if I say, they are walking regulation as now, there has been some interesting, I guess there’s two parts, [indiscernible] everyone’s talking at this point, but not I don’t think we’ve seen too much and I think that’s also what was expected, I mean I think it’s a going to be a long process and they are going to take their time, which is good, I think that all is the right thing. But having said that, that pretty much there is no news in that site. The other one is sort of the CFPB and the disparative impact regulations and that is all of sudden, getting a lot more play in that there has been some pieces written in the Wall Street Journal, and other folks, that made you, that approach isn’t really the right one and there is an interesting ROI based around the allied settlement and so I’m not saying that, we are going to stop tomorrow, it’s more like, it’s just and I think it makes sense, I mean if you give, I mean dive in or take the time, I don’t recommend anyone except our lawyers, so to figure out the whole CFPB and the disparative impact analysis, it is enormously complicated, and some folks pointed out, it may not be particularly fair. And so we will stop, and we think it’s very complicated, and there is interesting aspects to it, but the fact that doesn’t look at a whole lot more maybe come up with something that works for everyone lot better, it certainly is an improvement in the way we look at things and certainly a positive for the whole industry, not to mention car deals.
Kirk Ludtke: Great. Thank you and then last question, I know that Allied is purchasing paper that’s higher quality paper than what you typically purchased, but to the extent that they get more aggressive at the up tiers of the market, could they be pushing people down into your market and could that be a reason why your markets getting more competitive?
Charles Bradley: Again an interesting question. I think it’s almost while it’s easier to rise as you well know is that Allied has to compete with us at all. I mean Allied buys significantly over our head. And so it’s a little hard for us to get a look at what they’re doing other than but what we hear about. But I think Wells Fargo is a much more interesting example, because Wells is a classic player that plays very top line and down into our level, and the fact that says they’re going to cap what their exposure is to subprime and I think it’s rather selling. And that they’re very organized, they’re very disciplined buyers, and I’ve never seen Wells in do things that I wouldn’t like to do. So I think they’re a good place to look. And so, if you take them as an example, it’s hard to imagine the banks, the big banks, Ally at some level, pushing real far down given the amount of regulation – if you think we have regulatory interest, those guys have lot. And so for them to push too far down and what’s interesting is few years ago, I would fully expect them to do that, but these days, I wouldn’t expect them to do that just because I think they can buy enough paper where they are and it’s probably a far safer thing given the environment they live in. So certainly it’s possible, particularly in Ally, and maybe Ally might try and push down a little bit, but even if Ally pushed a little bit, they probably still can reach down where we are. You know they might put some pressure – the Ally aggressive, they probably put pressure on sort of those [indiscernible] nonprime guys in those low teens kind of lending, that’s where you might see some of the pressure you’re thinking about.
Kirk Ludtke: Yeah. I mean I was thinking maybe to the extent those low teen guys can find paper, they move into your market.
Charles Bradley: They could but remember those low teens guys are mostly mix. And so, the law regulated and they’re very worried about having too much subprime and closure that that might bring the bank.
Kirk Ludtke: Got it. That’s the distinction. Okay, I appreciate it. Thank you.
Operator: Thank you. And our next question comes from the line of Ryan Zacharia, Jacobs Asset Management. Your line is now open.
Ryan Zacharia: Hey, guys. Thanks for taking the questions. Could you just provide some detail on the average term of the loans purchased this quarter and how that compared to the year-ago period?
Charles Bradley: Yeah, it’s pretty consistent. So the weighted average term of the receivables is as total about 56 months and that’s really been pretty consistent metric over the last several quarters.
Kirk Ludtke: Okay. And can you just refresh my memory, do you accrue interest on extensions?
Charles Bradley: On extensions. Well, I’m not sure I understand exactly about I’ll describe you the process of an extension. When a customer is authorized to get an extension, it’s actually they pay make a partial payment towards the outstanding interest that’s on the account and it varies a little bit from state to state, circumstance to circumstance, but it’s usually pretty nominal payment, maybe $25 or $50 to get the customer to sort of make a commitment in exchange for getting the extension. But other than that and of course the extension that moves the customer due date out one month and moves their maturity date out one month. But other than that, there would be no other changes to the mechanics of the loan. So, an answer to your question I think yes, all the other interest on the account would continue to accrue based on the terms of the account.
Kirk Ludtke: So, to the extent, there were a certain portion of loans that were on extension at the end of the quarter, it’s possible that there might be a months worth of interest accrued related to those loans that was not actually collected?
Jeff Fritz: Well, yeah, that would be true, but it would also be true to the extent that an account didn’t get an extension, right and was past due 30 days and due to for – in the 30 day bucket of the delinquency and that account too has an extra month’s worth of outstanding of accrued interest that’s not paid.
Kirk Ludtke: Sure. And just following up on – there was a question about or there was a comment about there being an extra point of – loss potentially under the new normal. I’m trying to reconcile that with some past comments about the kinder, gentler servicing potentially being a positive impact on P&L?
Jeff Fritz: I think in the long term, it could be a positive. I think in terms of the reality today is we’re seeing an increase in the overall losses a little bit. Like I said earlier, I think that’s beginning to maybe show some small signs that maybe it will go back, it could go back the way it was. I think – and so I guess the easy answer is it’s been long sure, I think the new way of collecting will benefit everybody. In the short-term, which was really I think John’s question I think people should get used to having losses a little bit higher in the interim.
Kirk Ludtke: Okay, great. And then just final question is just on the sub 6% OpEx level, is that sustainable? In Q1 of last year, you’ve had 6% and then saw the number rise thereafter. So, I’m just wondering if this is kind of a seasonal phenomenon or if we should expect you to stay below 6% for the entire year?
Jeff Fritz: Well, I think we’d expect the trend to be – to continue to be downward. And I suppose from quarter-to-quarter, you could see a flat quarter up or down a tick, but the trend over a four quarter period, we’d expect as long as the business continues to grow, we’d expect the trend to be down certainly.
Charles Bradley: Right. So I am going to maybe even consider is as much as we did have 40% growth in originations during the quarter, but the most important thing for our company is to continue to have the portfolio grow, and we’re doing that in states. And so, doing even $80 million a month portfolio grows significantly every single month. And so, that’s the trend that pushes that overall number. So like Jeff said, it may bounce around slightly, the overall trend should be down.
Kirk Ludtke: Okay. And sorry, just one more, just on any update on the potential for a buyback?
Charles Bradley: We’re still working on that. We actually have a board meeting next week and that’s going to be one of the prime topics.
Kirk Ludtke: Okay, great. Thanks a lot guys.
Charles Bradley: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Amy DeBone with Compass Point. Your line is now open.
Amy DeBone: Hi, thanks for taking my questions. Going back to operating leverage really quick is the 5% potentially be the next milestone or is it going to low off prior to then?
Charles Bradley: Well, I mean, that’s not realistic I mean what the right size portfolio and continued efficiencies in economies, it’s not the other question. I mean I think if you look back at our 2007 financial results, mid 2007, when the portfolio was over $2 billion and before we started to shrink, I think you’d find some periods we’re then within the lows 5s or high 4s.
Amy DeBone: Okay, great. And then were there any one-time picks up better than the other income line this quarter? I think there was one in the fourth quarter, which gave it a boost as – as it related to Fireside?
Charles Bradley: Yeah, that’s correct. In the fourth quarter, we had a one-time pickup from the cleanup of the debt of the Fireside portfolio, which we had negotiated in December, but really didn’t close until January, but we’ve booked our gain appropriately in December. Nothing similar to that that I can think of in the first quarter. I don’t think there was anything like that in the first quarter.
Amy DeBone: Okay, great. Thank you.
Charles Bradley: Thank you.
Operator: I’m showing no further questions at this time. I would now like to turn the floor back over to Mr. Charles Bradley.
Charles Bradley: Thank you. So anyways first quarter is over. Like I said, I think generally speaking that the year sets up real well. And we think it’s a good interest rate environment. It’s a very good car environment. Wall Street is real big on the industry, which provides a lots of liquidity. And so, there is all sorts of potential for this year. And so, we like where we sit in it and learning in, we’re not going to chase. We’re [indiscernible] discipline in how we do it and that serves us very, very well. So we’re – as we’ve said numerous different times, we’re very opportunistic to the extent the market changes a little bit. We could grow a bunch, we will. We’ve demonstrated this way, we’re pretty not happy with what we’re doing. And you know, again, down the road some potential M&A will be terrific too, since that’s one of our favorite thing to do as well. So thank you all and we’ll speak to you next quarter.
Operator: Thank you. This does concludes today’s teleconference. A replay will be available beginning two hours from now until April 23, 2015 at 11:59 p.m. Eastern Time by dialing 855-859-2056 or 404-537-3406 with conference identification number 24992318. A broadcast of the conference call will also be available live for 90 days after the call via the Company’s website at www.consumerportfolio.com. Please disconnect your lines at this time and have a wonderful day.